Operator: Thank you for joining us today to discuss e.l.f. Beauty's Third Quarter Fiscal ‘24 Results. I'm KC Katten, Vice President of Corporate Development and Investor Relations. With me today are Tarang Amin, Chairman and Chief Executive Officer, and Mandy Fields, Senior Vice President and Chief Financial Officer. We encourage you to tune into our webcast presentation for the best viewing experience, which you can access on our website at investor.elfbeauty.com. Since many of our remarks today contain forward-looking statements, please refer to our earnings release and reports filed with the SEC where you'll find factors that could cause actual results to differ materially from these forward-looking statements. In addition, the company's presentation today includes information presented on a non-GAAP basis. Our earnings release contains reconciliations of the differences between the non-GAAP presentation and the most directly comparable GAAP measure. With that, let me turn the webcast over to Tarang.
Tarang Amin: Thank you, KC, and good afternoon, everyone. Today, we will discuss the drivers of our Q3 results and our raised outlook for fiscal ‘24. I want to start by recognizing the e.l.f. Beauty team for delivering another phenomenal quarter. In Q3, we grew net sales by 85%, increased gross margin by nearly 350 basis points, and delivered $59 million in adjusted EBITDA, up 61% versus prior year. Our vision is to create a different kind of beauty company by building brands that disrupt norms, shape culture, and connect communities through positivity, inclusivity, and accessibility. We've executed against this vision and delivered exceptional, consistent category leading growth. Q3 marked our 20th consecutive quarter of net sales growth, putting e.l.f. Beauty in a rarefied group of consistent, high growth consumer companies. We're one of only five public consumer companies out of 274, that has grown for 20 straight quarters and averaged at least 20% sales growth per quarter. Across our business, we've continued to prioritize three areas with significant runway for growth, color cosmetics, skincare and international. Let me update you on our progress in Q3. In color cosmetics, we continue to significantly outperform the category. In Q3, e.l.f. Cosmetics grew 46% in tracked channels, 23 times category growth of 2%. We increased our share by 305 basis points. Out of nearly 800 cosmetics brands tracked by Nielsen, e.l.f. is the only brand to gain share for 20 consecutive quarters. We've more than doubled our market share from about 4.5% in 2019 to 10% in 2023, placing us as a number three brand nationally. Given our momentum, we see an opportunity to double our share again over the next few years. In Target, our longest-standing national retail customer, we're the number one brand with about a 19% share, nearly double the share we had in Target just a few years ago. We're focused on replicating our success at Target across other key retailers and are making great progress towards that ambition. In skincare, we also continue to outperform the category. In Q3, e.l.f. SKIN grew 89% in tracked channels, 10 times category growth of 9%. We grew our share by 60 basis points and gained six rank positions, increasing our rank to the number 14 brand as compared to the number 20 brand a year ago, e.l.f. SKIN today holds a 1.4% share and a significant runway with the number one brand holding 14% share. We're also making progress with Naturium, the clinically effective biocompatible skincare brand we acquired in October. Naturium has doubled our skincare penetration to 18% of retail sales and gives us a fast growing complementary brand to further our aspirations in the category. Naturium has seen exceptional growth with net sales growing at an 80% CAGR over the last two years. We're pleased by the strong growth that Naturium continued to deliver in Q3. Turning to international, our net sales grew a 119% in Q3 and drove approximately 15% of our business as compared to 13% a year ago. We saw terrific growth in the U.K. and Canada, our largest global markets, and we're enjoying success in our expansion to other countries as well. As compared to our number three position in the U.S., e.l.f. is the number four cosmetics brand in Canada and the number six brand in the U.K. In Italy, where we just launched this fall, e.l.f. is already the number one brand in Douglas across both mass and prestige. We see significant runway to expand our brands globally. Across categories and geographies, the three fundamental drivers of our business remain the same, our value proposition, powerhouse innovation, and disruptive marketing engine. Let me walk you through how each underpinned our strength in Q3 and how they collectively fuel our vision to be a different kind of company. First, we're known for our value proposition. Our mission is to make the best of beauty accessible to every eye, lip, face and skin concern. We have a unique ability to deliver high quality holy grails at an extraordinary value, created with inspiration from our community, the best products in prestige, and our distinctive e.l.f. Twist. The average price point for e.l.f. is a little over $6 today as compared to over $9 for legacy mass cosmetics brands and over $20 for prestige brands. We believe our core value proposition expands the category, allowing more consumers to access the best of beauty. The second drive of our performance is our powerhouse innovation. Our innovation engine has built category leadership over time. e.l.f. has a number one or two position across 16 segments of the color cosmetics category, which collectively make up over 75% of e.l.f. Cosmetics sales. We continue to deliver strong sales growth and share gains in each. We have a track record of building growing product franchises in both cosmetics and skin care that endure instead of typical one and done launches. Our five largest franchises, Halo Glow, Camo, Power Grip, Holy Hydration, and Putty have grown year-after-year. As we launch new innovation within each, the entire franchise grows. In Q3, we extended our Camo franchise into the blush category for the first time with the launch of our Camo liquid blush, priced at an incredible value of $7 compared to a prestige item at $23. We're also innovating in the industry's top segments where we under index on share, like lip and mascara. In Q3, we launched our Glow Reviver lip oil, one of the most requested products from our community, price at an incredible value of $8 compared to a Prestige item at $40. We also launched our Lash XTNDR mascara, our fourth mascara launch in the last four years, and our first ever mascara with lengthening tubing technology. With our focused innovation in these areas, we've nearly doubled our lip and mascara share over the last three years, and are still significantly underpenetrated today. For context, as compared to the 10% share we have across the cosmetics category, we have a 3% share in lip, a $1.2 billion category, and a 2% share in mascara, a nearly $1 billion category. We have significant white space in these large segments of beauty and the innovation engine to conquest them. The third driver of our performance is our disruptive marketing engine. We have a track record of attracting and engaging existing and new audiences with buzz worthy activations, unexpected creativity, and coveted collaborations. Our advantage lies in our ability to deliver real-time entertainment with emotionally resonant and culturally relevant content. Our unique content is customized with precision and delivered with impact across a wide range of platforms. Building upon our learnings and success with our elfyeah channel on TikTok and our elfyou channel on Twitch, we widened the aperture in Q3 with the launch of e.l.f. UP!, our first ever experience on Roblox, one of the world's most popular virtual playgrounds and immersive platforms. True to our purpose, e.l.f. UP! isn't just another game. It empowers entrepreneurs and cultural change makers to bring passion projects to life. The experience focuses on social impact and skill building for e.l.f. community and provides a digital sandbox for fostering creativity and entrepreneurship. Launched less than three months ago, e.l.f. UP! is already the number one rated brand experience on the Roblox platform, receiving a 96% rating and amassing over 4 million plays. Looking at new cohorts, the Latinx community represents some of the most passionate makeup consumers with 77% higher average spend in the category. e.l.f. over indexes among Latinx community and is a significant opportunity to build upon this affinity. In Q3, we teamed up with rising Latin Music Sensation Manuel Turizo to launch a new original Spanish language song titled, Ojo, Labio and Cara, which translates in English to eyes, lips, face. This anthem is written to empower the Latin community, celebrating their beauty and pride in their Latin roots. Ojo, Labio and Cara achieved over 2 billion media impressions, garnered over 304 million cross platform views and plays, and reached the number one spot on Spotify in three categories. On the big screen, we released Cosmetic Criminals, a true crime parody documentary capturing the widespread phenomenon of household intergenerational cosmetic crime. Stemming from reports about widespread e.l.f. pinching when family and friends borrow e.l.f. holy grails with no intention of returning them, the main character represents their universal truth. The spot debuted on YouTube, Amazon Freevee and ahead of the new Mean Girls movie at select AMC Theatres nationwide. Our 15 minute film was the longest branded content spot to ever run on the big screen. Since its launch on January 9, Cosmetics Criminals garnered over 7 billion media impressions, amassed over 2 million views on YouTube alone and garnered a 4.5 star rating on Amazon. Speaking of big audiences, e.l.f. returns to the big game on February 11 with our first ever national TV spot. Last year's spot featuring Jennifer Coolidge and Power Grip Primer affirmed our hypothesis that women were underserved despite being nearly 50% of Big Game viewers. The overwhelming success of the campaign by every metric fueled our return with a national presence this year versus a regional spot the year prior. Securing a national spot increases our household impressions by a factor of 3x. We believe this reach provides the best opportunity to springboard viral moment across a wide spectrum of platforms and increases our ability to boost brand impact. The entertaining spot features our Halo Glow liquid filter, the star of our bestselling franchise in 2023. Over the past four years, we've increased our marketing investment from 7% of net sales to 22%. Our marketing investment is working, driving ROI multiples above industry benchmarks and helping us reach new audiences. Since 2020, our unaided awareness in the U.S. has doubled from 13% to 26%. That 26% unaided awareness today compares to the leading U.S. mass cosmetics brand at 52%, illustrating significant runway for growth. Our results continue to fuel progress with national retailers. e.l.f. is the most productive cosmetics brand at our top three customers in the U.S., Target, Walmart, and Ulta Beauty. We're also the most productive brand at our top two customers in the U.K., Superdrug and Boots, giving us conviction that we can replicate our productivity model as we expand internationally. We continue to increase productivity even as we expand space. We're pleased to announce that we'll be expanding space for e.l.f. in spring 2024 with CVS and in summer 2024 with Walmart. In addition to the space gains we previously announced with Shoppers Drug Mart in Canada and Boots in the U.K. We're also pleased to announce that we'll be expanding space for Naturium in spring 2024 with Shoppers Drug Mart, marking the brand's entry into Canada. In summary, as we enter our 20th year as a company, we continue to deliver exceptional results. What gives me confidence for the future is a significant white space we see in color cosmetics, skin care, and international. We continue to believe we are still in the early innings of unlocking the full potential for our brands. I'll now turn the call over to, Mandy.
Mandy Fields: Thank you, Tarang. I'm pleased to share the highlights of our third quarter results as well as our raised outlook for fiscal ‘24. Our third quarter results were outstanding. Q3 net sales grew 85% year-over-year driven by broad based strength across national and international retailers as well as digital commerce. Our net sales growth was led by higher unit volume, which contributed approximately 56 percentage points to growth with mix adding approximately 29 percentage points. Q3 digital consumption trends were up over a 100% year-over-year. Digital channels drove 24% of our total consumption in Q3 as compared to 18% a year ago. The momentum we're seeing is supported by enhancements across our loyalty program and our app as well as digital and social platforms. Our beauty squad loyalty program now has over 4.5 million members with enrollment growing 30% year-over-year. Our loyalty members continue to be a key part of our digital ecosystem, driving almost 80% of our sales on elfcosmetics.com. We're seeing terrific engagement on our e.l.f. mobile app, which now boasts a 4.8 star rating and over 1.8 million downloads since launch. We're also enjoying strength across third-party digital and social platforms. We were amongst the fastest growing beauty brands on Amazon in Q3 and we're the first major beauty brand that launched on TikTok shop. Q3 gross margin of 71% was up approximately 350 basis points compared to prior year. We continue to see gross margin benefits from favorable FX rates, improved transportation costs, margin accretive mix and cost savings. On an adjusted basis, SG&A as a percentage of sales was 54% in Q3 compared to 47% last year. The increase was primarily due to higher marketing and digital spend. Marketing and digital investment for the quarter was 26% of net sales, up from 17% in Q3 last year. We continue to expect marketing and digital investment in the 22% to 24% range for full year fiscal ‘24. Q3 adjusted EBITDA was $59 million, up 61% versus last year, and adjusted EBITDA margin was approximately 22% of net sales. Adjusted net income was $43 million or $0.74 per diluted share compared to $27 million or $0.48 per diluted share a year ago. Moving to the balance sheet and cash flow. Our balance sheet remains strong and we believe positions us well to execute our long-term growth plans. We ended the quarter with approximately $72 million in cash on hand compared to a cash balance of $87 million a year ago. Our ending inventory balance was $205 million in-line with our expectations and up from $81 million a year ago. The difference is primarily a combination of three things. First, as we said last quarter, we continued to build back our inventory levels through fiscal ‘24 to support strong consumer demand. Second, approximately 28 million of the increase is the result of taking ownership of inventory from China when it ships versus when it enters our distribution center here in the U.S. Lastly, our consolidated results include Naturium for the first time, which added approximately $25 million of inventory. We believe we have the appropriate levels of inventory across the business to service our customers and support the demand we're seeing. In early October, we closed the Naturium acquisition. It was funded largely using cash on hand and access to our existing credit facility as well as approximately 600,000 shares of e.l.f. Beauty stock issued directly to founders and key management. Our liquidity position remains strong below leverage post the transaction. We ended the quarter with less than one times leverage in terms of net debt to adjusted EBITDA. We expect our cash priorities for the year to remain on investing behind our growth initiatives and supporting strategic extensions. The initiatives we're focused on this year include continuing to invest in our people and infrastructure, our ERP transition to SAP as well as increased working capital and distribution capacity to support strong consumer demand. Now, let's turn to our updated outlook for fiscal ‘24. For the full year, we expect net sales growth of approximately 69% to 71%, up from 55% to 57% previously. Adjusted EBITDA between $218 million to $220 million, up from a $197 million to $200 million previously. Adjusted net income between a $164 million to a $166 million, up from a $144 million a $146 million previously, and adjusted EPS of $2.84 to $2.87 per diluted share, up from $2.47 to $2.50 previously. We expect our fiscal ‘24 adjusted tax rate to be approximately 14% as compared to 17% to 18% previously. Lastly, we continue to expect a fully diluted average share count of approximately 58 million shares. Let me provide you with additional color on our planning assumptions as we close out fiscal ‘24. Starting with the topline. We believe we are well-positioned to deliver another industry leading year. Our raised outlook reflects the outperformance in Q3 we saw relative to our expectations as well as an improved outlook for the balance of the year. Our guidance implies approximately 48% to 53% net sales growth in Q4. Turning to gross margin. In fiscal ‘24, we expect our gross margin to be up approximately 280 basis points year-over-year, as compared to our expectations for up 225 basis points previously. The improved outlook is largely a result of our outperformance in Q3. In terms of the key puts and takes for the year, we continue to expect gross margin to benefit from lower transportation costs, favorable FX rates, margin accretive mix and cost savings, which are expected to more than offset costs related to retailer activity and space expansion. Turning to adjusted EBITDA. Our outlook implies adjusted EBITDA growth of approximately 87% to 88% versus prior year, up from 69% to 71% previously. We expect adjusted EBITDA margin leverage of approximately 200 basis points year-over-year, up from a 190 basis points previously, supported by the combination of our strong net sales growth, gross margin expansion, and leverage in our non-marketing SG&A expenses. Our flywheel approach of investing in marketing to drive topline while expanding adjusted EBITDA margins gives me confidence in our ability to continue to drive profitable growth. In summary, our third quarter results underscore our ability to drive exceptional, consistent, category leading growth. We have a significant white space opportunity in front of us as we continue our vision of creating a different kind of beauty company, one, that is purpose led and results driven. With that operator, you may open the call to questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions] Our first question comes from Andrea Teixeira with JP Morgan. Please go ahead.
Andrea Teixeira: Good afternoon, everyone. Obviously, congrats on this numbers again. I just wanted to kind of [parse] (ph) like your raise guidance between Naturium and the base business. Obviously looking at your comparison it gets tougher by around 300 basis points in the fourth quarter of last year. So, I understand even with the ways you decelerate a bit in the fourth quarter. So, just wanted to figure how much would be your expectation for organic and your expectation for Naturium? And then part of that as well, you did an amazing job separating and breaking down unit growth, to mix. I wonder if you still have a lot of mix effects that you're planning given your skincare, given, the innovation that is, value accretive into your numbers. So, how that factor going forward? Should we see some deceleration or should see some accretion on that? Thank you.
Mandy Fields: Hi, Andrea. Good to hear from you. So, I'll start with your first question. If we look at our raised guidance, we have not changed any of our outlook on Naturium. So, we previously talked about Naturium contributing about $48 million for the year, and we expect that to be consistent. So, our raised guidance really is reflective of the momentum that we continue to see behind e.l.f. Beauty, overall. So, really pleased with our ability to, not only raise for Q3, pass through the Q3, but also raised for Q4. Your question then is on mix impacts as we go forward. So, yes, very pleased with how Q3 came together and very consistent really with what we've seen all year with volume being the main driver of our growth. But on the mix side, because we have not had any pricing this year that's impacting that, so it's purely mix. Introducing innovation at higher price points has had a benefit to this year and as we look forward and think about our future innovation, we could see some impact from that as well, especially as we think about gross margins, innovation mix has been one of the key drivers to that over time.
Unidentified Participant: That's super helpful, Mandy. And if I can, squeeze in terms of, like, how you're getting new shelf space, but it will be mostly into fiscal ‘25. So, how can we, look at that component within your guide and how Nielsen you gave us in the past, like, some guide guideposts within Nielsen as we look at compounded. How we should be thinking from now? You exceeded that margin. How we should be thinking attract channels as we go forward?
Mandy Fields: Yes. So, why don’t I start with the Nielsen question. So, last quarter, we had talked about seeing tracked channels range from 20% growth up to 50% growth. And we said for Q3, it was going to be closer to that higher end of the range, which is what we saw, as we exited Q3, closer to that 50% range. As we get into Q4, we do expect that we'll be closer towards the lower part of that range, closer to the 20% out of track channel. But I will remind you that track channel only represents about half of our business. We are continuing to see great momentum in other parts of our business. And I'll just point you back to our guidance for Q4, really points to over 50% growth from a net sales standpoint. So, we're feeling great about, how the business is coming together, we believe, for the quarter. In terms of shelf space, we did talk about picking up space in Walmart that will impact fiscal ‘25. That's going to be summer of ‘25. The other gains that we spoke about in Shoppers and Boots and CVS, that's going to be part of fiscal ‘24. And yes, you'll see the larger benefit in fiscal ‘25 as you move forward, but we will have some pipeline, things like that here in the quarter.
Unidentified Participant: Thank you very much. I'll pass it on. Congrats again.
Mandy Fields: Thank you.
Operator: The next question comes from Ashley Helgans with Jefferies. Please go ahead.
Ashley Helgans: Hi, thanks for taking our question and congrats on the quarter. I’d just wanted to ask if you could just give us a little bit more color on the store penetration and average footage, you'll have at both CVS and Walmart after this next round of expansion. And then also if you could just one other question about tariffs, we're starting to get a lot of questions on tariffs as [Trump] (ph) was elected again. Can you just remind us of some of the mitigation efforts you have in place? Thanks so much.
Tarang Amin: So, hi, Ashley. In terms of our, penetration, we're really pleased with the space we're going to pick up at Walmart. It's one of our single biggest opportunities from a space standpoint. The average self-set at Walmart right now is about eight feet. That compares to about 13 feet at Target, 12 feet at Ulta Beauty and Walmart really has bigger sets than both those customers. So, we don't disclose a specific amount of space other than they are leaning in on e.l.f. I think we're the only brand they're making a pretty major move on space with. And we're looking forward to that in summer. As Mandy said, that will really impact us in fiscal ‘25. The other thing I would say is, we had a pretty consistent track record of picking up space year-after-year, but the biggest drive of our business is our productivity, our ability to grow dollars per linear foot of space year-after-year regardless of whether we've picked up space or not. So, we're pretty confident in terms of how that profile continues to shape up with space being kind of the cherry on top, but really pleased, not only with Walmart, but CVS continue to make major moves in terms of space, a continuation of what they started over a year ago. And so, and we definitely in drug have a lot more room to grow our space. So, feel really good about that, in addition to the Shoppers and Boots.
Mandy Fields: And then your question on tariffs, Ashley. Since 2019, we've been dealing with tariffs that was put on our products, majority of our products at the 25% level. And so, if we were to think of additional tariffs being layered on, we have reserved pricing for macro issues such as tariffs. We did again in 2022 in response to the inflationary environment. So, we know that that's a lever that we could pull, if we were subject to additional tariffs, but something that we're keeping an eye on and certainly something that we're very mindful of, especially of pulling that pricing lever, just given the cost consciousness of the consumer right now.
Tarang Amin: And we do have pricing power. I think one of the things many of our competitors took pricing over the last few months. We chose not to take pricing to that point of keeping a superior value equation and also keeping in our back pocket if we needed to take pricing for any external factors. So, we feel good in terms of how we're situated in our ability to continue to navigate a dynamic environment. The only other thing I would add is, we have a pretty big initiative on supplier diversification. So, while most of our footprint today is in China, we have started up additional operations in Thailand, in Western Europe, and we'll continue on that journey. For the foreseeable future, a lot will come out of China, but also with the addition of Naturium, which is a 100% manufactured in the U.S., we feel good about how our supply chain is evolving in the future and being more diversified.
Operator: The next question comes from Olivia Tong with Raymond James. Please go ahead.
Olivia Tong: Great. Thanks. Good afternoon, and congrats. I wanted to ask you about a new shelf space, CVS Walmart. Can you talk about what the assortment look like? Is it more times of your hero products? Are you getting traction in some of the new areas like lip, eye and skin?
Tarang Amin: Sure. So for context, Olivia, historically at CVS, we were in a three foot gondola end cap. It allowed for very little amount of high end assortment in those sets. CVS is moving to six and ten foot sets in line as they expand space. So, it gives us a lot more room to get more of our assortment and certainly all of our holy grails, many of our new items, each of our core items. Similarly, Walmart, while they're at eight feet, they have significantly more capacity to take more of our innovation, more skincare and many of other items. So, we feel really good about what that's going to enable similar to what we saw with both Target and Ulta as they expanded assortment. Those are probably pretty good guides in terms of the space and what we're able to pick up.
Olivia Tong: Got it. And then, how should we be thinking about volume versus price mix in the next 12 months. Obviously, you've seen very strong benefit from volume and price mix, but more from volume. And that obviously now creates tougher comps. The price mix is starting to or the mix is picking up with Naturium, sort of super driving that. So, just kind of curious how you think about the contribution from those two pieces. And then just if I could sneak one other one in, it's just around advertising, spending from here. Now that you're at 24% of sales, just thanks for confirming that you're planning a Super Bowl ad again this year. As you think about sort of getting the best ROI as you continue to increase your spend. We also saw that Nick is planning a Super Bowl ad as well. So, competition is clearly trying to kind of catch up to you and run your playbook as well. So, can you talk about some of the actions you're taking to just continue to stay ahead of your peers and keep that ROI, as high as you have? Thanks so much.
Mandy Fields: Hi, Olivia. I'll take the question on volume versus price mix. Again, we're very pleased that the majority of our growth has been driven by volume. I think that speaks to the health of the brand, I think that speaks to the engagement that we have with our community, and something that we certainly expect to see on the road ahead. To what level price mix plays into it, we'll have to see, as we go through. But we feel pretty confident that volume will continue to lead our growth as we go forward.
Tarang Amin: And then on your question on advertising, we feel great about the 24% that we're guiding this year and that's really based on the tremendous ROIs we're seeing on our marketing investment in terms of gross sales per dollar invested. I've been in the consumer space for over 30 years. It's the first brand I've seen where you take up your marketing levels and actually get better ROIs. So, we feel really good about what we continue to see from a marketing ROI standpoint even as we take our levels up. And then in terms of competition, and competition catching up. I think what you'll see is us continue to innovate, continue to be leaders and trailblazers on different platforms. We talked this time in terms of taking the strength we have in Gen Z, we have been picking up by opening up that aperture more millennials, more Gen X. You heard about our efforts this last quarter with the Latinx community where we already are overdeveloped, with the partnership we did with Manuel Turizo in terms of the engagement that that created. Even with Gen Alpha, you see us, our branded experience on Roblox was the number one branded experience on Roblox, 96% rating. I think over, 5 million plays so far. So, I think, competition can try to try to catch up, but we feel really great about our unique ability to entertain and engage our community, and you're going to continue to see that, including staying tuned for February 11th. And, what we have in store on the Super Bowl this year, where we're actually doing the national buy versus the regional, buy we had last year, triples our reach. And I think just in even the teasers we've done starting last week, we're already up to I think 11 billion impressions on those teasers and we haven't even started the activation yet.
Olivia Tong: Great. Thanks. Best of luck.
Operator: The next question comes from Linda Bolton-Weiser with D.A. Davidson. Please go ahead.
Linda Bolton-Weiser: Yes. Hi. I was just curious, with your expansion activities in Europe, are you shipping from Asia to Europe, to fulfill those orders? And if so, are you experiencing any issues with shipping through the Suez Canal area, are you seeing any, spikes in freight rates that are affecting your costs? Thanks.
Tarang Amin: Hi, Linda. So, we do ship from China to Europe, for our European business. We use a combination of both, shipping as well as rail over Asia. And we found the rail to be a good solution for us. The shipping situation, we're keeping our eyes on it, has minimal impact in this fiscal year. We're keeping an eye for the future as we've seen some rates temporarily go up. We think that it's a temporary thing, but we'll keep our eye on it. And, right now, not much of an impact.
Linda Bolton-Weiser: Thanks. And can I just ask also, for Naturium, it was interesting what you said about expanding that brand already and to another retailer? I thought my understanding was that you were going to take some time to kind of, strategize and figure out how to go about it. Are have you changed with regard to your plan for the pace of expansion of that brand as you've gotten to know it better?
Tarang Amin: I would say our plans are relatively consistent. So, Naturium was already in discussions with Shopper Drug Mart. We knew about that when we made the acquisition. We're actually quite excited about that, the first entry into Canada for that brand. When we bought the brand, we thought there are three areas where we could really give help to Naturium. It's the team that's doing extremely well, that entire team came on board. They've been on as part of the e.l.f. umbrella now for three months. They continue to run the business extremely well. The three areas where we could add value is number one, to the team to help enhance and expand the team for the types of things they need, whether it be regulatory, quality, manufacturing, there's a lot of capabilities we have in a number of these different areas. The second is to continue to enhance their marketing model. We have an incredibly effective engagement model with consumers, our ability to bring even more to that. And the third in distribution, the distribution ability really came to play with Shoppers Drug Mart. We already have a very good business there. So our ability to help them navigate through Shoppers to make sure that we're getting both the best terms as well as the best levels of support. So, I'd say it's more consistent than not. We're extremely pleased with our first few months of Naturium, continues to be a very strong growing brand with a great deal of potential.
Linda Bolton-Weiser: Great. Thank you and congratulations.
Mandy Fields: Thanks Linda.
Operator: The next question comes from Bill Chappell with Truist Securities. Please go ahead.
Bill Chappell: Thanks. Good afternoon.
Tarang Amin: Good afternoon.
Bill Chappell: Maybe you can help us understand the outperformance in the quarter. And I understand you have a solid track record of conservative expectations or forecasts. But I mean, this seems to be upstanding in terms of the beat and all across the board. So, what drove or was there any couple of factors that drove the upside, especially as I think we were all looking at kind of tougher comps as we entered December, but you seem to kind of surpass that and keep on moving even as we see the scanner data today. So, what is it anything changed? Anything stepped up? Was there something different or were you just really conservative on your guidance?
Tarang Amin: Well, I would say, Bill, When we talk about exceptional, consistent category leading growth, that's exactly what you've seen for us for 20 quarters in a row. We cite the stat of we're one of only five public consumer companies out of 274 that have grown 20 consecutive quarters at over 20%. So, I think it's more consistent than not. In terms of the quarter, the quarter did come in better than we were expecting. And it really is, all three of our key drivers working in concert. So, if I look at our value equation, our powerhouse innovation, and our marketing engine, we continue to see great strength and great fundamentals in each of them. During the period, results are during the holiday period. We had a number of our latest holy grail launches do exceptionally well. We talked about our lip oils that we launched. This was an idea that really came from our community. They saw a prestige item that they really liked at $40 and basically like e.l.f. We love that, but we can't afford $40. So, we developed ours with our own e.l.f. Twist. Our lip oils hydrate better, have a better [dough slit] (ph) in terms of application. Formulations are incredible. And right when we launched them, we saw them take off virally right away with consumers making the direct comparison of it's actually better than the Prestige product. We've seen similar results as we think about our Camo liquid Blush, at $7 versus a Prestige item at $23. So, we continue to build upon these growing franchises. That along with our increased marketing levels and what we're able to do from a value equation standpoint, I think is continue to propel our business. As Mandy said, we do expect Nielsen to be in that lower range, but we still feel really good even with Nielsen comping very strong numbers. For example, this time last year, I think our target business was up over a 100%, and we still continue to see really strong numbers on top of those strong numbers. We feel really good about the 53% growth that's implied in Q4, even though we're comping a quarter that's closer to 80%.
Bill Chappell: That's fantastic. And then just sneaking one in e.l.f. skin care, I mean, I know we're talking about Naturium doing well, but I think you had planned on bringing some of cross pollinating Naturium and e.l.f. skin care in terms of their skill specific abilities and any update there and just kind of how e.l.f. skin care is doing?
Tarang Amin: Yes. So e.l.f. SKIN is doing exceptionally well. We talked during the call in tracked channels, e.l.f. skin care was up 89% versus a category that's up 9%. So, we continue to see great momentum on e.l.f. SKIN. Recall it was a couple of years ago that we really dedicated that as own brand with its own level of focus. And we're seeing great things both from an innovation pipeline as well as kind of our awareness build. So, we feel really good. I mean, I think just in the last year, we increased six ranked positions in skincare from number 20 to number 14. And we have aspirations over time to be a top ten brand in skincare. And I feel really good about, both the momentum and the plans we have against it.
Bill Chappell: Great. Thanks.
Operator: Next question comes from Dara Mohsenian with Morgan Stanley. Please go ahead.
Dara Mohsenian: Hi, guys.
Tarang Amin: Hi.
Dara Mohsenian: So, obviously, incredibly strong growth in the quarter again. Tarang, maybe can you just give us a brief review on as you think about the long-term market share opportunity, where do you see the opportunity dimensionalizing it out three to five years? How does the recent growth and market share expansion you've seen maybe change that view? And just how would you think about it conceptually as we think through where the business could be longer term? Thanks.
Tarang Amin: Thanks, Dara. I feel incredibly well about our ability to continue to gain market share. I feel great about the 305 basis points of market share we grew in this past quarter. And really, if I think about the longer term view, it was just a few years ago that we're a 4.5 share in color cosmetics. We're now a 10 share nationally. We've often cited Target as, as kind of the beacon. We're number one at Target. We've doubled our market share there over just the last few years and we're almost a 19% share. So, our sights are set on clear market leadership over time, as I look at the longer track record within color cosmetics. And I feel we're making great progress there. You can see in our current share momentum, but particularly as you get more space at Walmart in drug, as we continue to expand. We feel there's a tremendous opportunity to do what we've done in Target. And I think we're making great progress there. Skincare perhaps is even a bigger opportunity. If I take a look at all the growth we've had in skincare, the 89% I just talked about in terms of tracked channels, e.l.f. SKIN growing. We're still only a 1.4 share in skincare on e.l.f. SKIN compared to a market leader that's 14 shares. So, even more head headspace on skincare, and now we've got two incredible assets to be able to drive that aspiration with both e.l.f. SKIN and Naturium. So, feel really good there. And then the last area upside of kind of market share, market share we often cite is the U.S. Nielsen market share. We're also making great progress in the international markets, right. If I look at our rank improvement in Canada and the U.K., just in the last couple years, it's pretty phenomenal. And, with increased space at both Shoppers, I mean, with Superdrug and Boots, Superdrug in this past year and Boots coming up, I feel even more confident with what we're doing there with our international team in the U.K. and, a stat we cited in our call was we just entered Douglas, Italy about a quarter ago, and, we're already their number one brand, not only on the mass side, but also across prestige number one overall. So, it really tells me that this model can replicate, and not only in the U.S., but the amount of growth we have internationally.
Dara Mohsenian: Great. Thanks.
Operator: The next question comes from Peter Grom with UBS. Please go ahead.
Peter Grom: Thanks, operator, and good afternoon, everyone. Hope you're doing well. So, I wanted to ask a couple of questions on margins. Maybe first, just on the fourth quarter, I apologize if I missed this, but the implied EBITDA margin in 4Q and kind of earnings as well does embed a bit of a step down. Can you maybe just outline the drivers of that, the year-to-date performance and gross margin and marketing guidance would suggest it's not really either of those buckets. So, just maybe help us understand the puts and takes from a margin and earnings perspective specifically for the fourth quarter? And then just bigger picture, the gross margin performance has been impressive. The guidance implies north of 70% this year. Can you maybe just help us frame the opportunity from here is the room for further expansion is more of the EBITDA lever is really going to come from OpEx. Thanks.
Mandy Fields: Hi, Peter. So, yes, overall, I'm very pleased with the margin progression that we've made over this year. Our outlook implies a 200 basis point expansion in EBITDA margin for this year. Our gross margins have also been very strong for this year. Our outlook is implying over 200 basis points, 280 basis points is what's implied from a guidance standpoint on the gross margin line. So the quarters can ebb and flow, in terms of the spin that you'll see in each quarter, we are stepping up our marketing spend in Q4. So we are targeting that higher end of the range at 24% for the year. In the first half of the year, we were closer to an 18% level, and so you'll see marketing ramped up. Even from the 26% that we delivered in Q3, you'll see that step up even higher Into Q4. So that will, have an impact overall on our spend, and we continue to invest in our people and infrastructure. You'll see that in our non-marketing SG&A as well. But in terms of the splits on the quarters, nothing really to call out other than we are going to be stepping up our marketing for Q4.
Operator: The next question comes from Susan Anderson with Canaccord Genuity. Please go ahead.
Susan Anderson: Hi. Good evening. Nice job on the quarter. I guess just really quick to follow-up on that margin question. So I guess on the gross margin front for the fourth quarter, it looks like the full year guide maybe it just implies slightly up for the fourth quarter, so a little bit below what you guys did in the first three quarters. So just curious the driver of that lower gross margin there. And then also on Naturium, it sounds like it's performing well and in line with your expectations. I'm curious if there's been I know it's early, but any learning so far that you've taken from the brand that you think is applicable to e.l.f. SKIN. Thanks.
Mandy Fields: So to unpack margin a little bit, for Q3 and Q4. So Q3, we had the benefits we've called out, foreign exchange, transportation, cost savings mix. All of those continue on into Q4. The main differences though in Q4, Q4 last year, we started to see the transportation, savings impact that. So If I look at Q3 last year, we were about a 67 margin. Q4 last year, we were 69. So it's already 200 basis point step up into Q4. Also, I would say on Q4, historically, again, last year was an outlier, but historically, we do see a step down seasonally in our gross margins for Q4 as we're exiting certain product off the shelf, getting our new product onto shelf, so that also is impacting, but I feel great about the gross margin that we're out looking, that's implied in our outlook for Q4, roughly around a 69, which is really strong. And again, looking at ending the year with 280 basis points of margin expansion.
Tarang Amin: And then in terms of learnings from Naturium, I'd say there's probably two main ones. One is, reinforcement of just how great a team came along with Naturium and how well they fit the e.l.f. culture and integrate in. So far that integration has done extremely well in terms of being able to help them realize the growth potential behind Naturium and also bring learnings into the company. I think the second thing is, we picked up, over 35 people on Naturium, including cofounder Susan Yara. And so I think the learning for us on e.l.f. SKIN is we started this journey a couple of years ago. How do we get even more dedicated resource on e.l.f. SKIN to fully realize the potential there? That fits within our existing people plan in terms of what we hire every year, additional people. And so I think that's probably the biggest learning back on the e.l.f. SKIN side is getting that level of dedication and expertise on e.l.f. SKIN.
Susan Anderson: Great. Thanks so much for the details. Good luck the rest of the year.
Operator: The next question comes from Anna Lizzul with Bank of America. Please go ahead.
Anna Lizzul: Hi. Good afternoon. Thanks so much for the question. I wanted to ask bigger picture on e.l.f. SKIN and Naturium. How are you thinking about the longer term potential for these two brands given their different price points and ultimately where do you see these brands fitting in with certain retailers and different customer demographics? And then for e.l.f. SKIN specifically, are you beginning to see customers come in through skincare or are sales still primarily from customers who are already users of e.l.f. Cosmetics migrating to e.l.f. SKIN. Thank you.
Tarang Amin: So, the bigger picture Anna for both these brands is we see tremendous growth in both of them. e.l.f. SKIN average unit retail is around $9 primary audience, female. Gen Z has a ton of potential, particularly as more Gen Z and the younger cohorts really migrate to skincare, we see it continue to expand both its presence in retail in terms of its innovation pipeline, we see a great potential there. Naturium, one of the reasons we really like the brand is just how well it complements e.l.f. SKIN. You know, at an $18 average retail, higher price point, that prestige point, it also attracts a different audience, Including over a third of its user base, almost 40% of its user base being men and with the body category in particular. So, we like the fact that they're very distinct and complementary, yet both have tremendous growth potential. In terms of where we could continue to see both brands. We think there's expansion potential for both brands. Naturium probably opens itself up to other more premium retail locations over time, but we feel really, really great about the business we have at Target, Amazon, Naturium.com, very excited about Shoppers Drug Mart. So you'll see some overlap in terms of distribution with some differences that we haven't disclosed yet. And then from a demographic standpoint on e.l.f. SKIN the last part of your question, we are seeing us pick up more consumers directly from skincare. I'd say in the early days of e.l.f. SKIN, e.l.f. SKIN buyer was primarily cosmetics buyer. It was housed right next to e.l.f. Cosmetics. You definitely got people building their baskets on e.l.f. Cosmetics, particularly with some of the latest innovations, if I take a look at our Suntouchables line, our SPF line, both Woah Glow, some touchables, invisible, our spray. We're picking up people directly from Prestige Skin, in that business and so I feel really good about the strategy, particularly on an innovation standpoint where we'll continue to get e.l.f. consumers, but we're increasingly picking up more directly from skin care.
Anna Lizzul: Great. Thanks so much.
Operator: Next question comes from Korinne Wolfmeyer with Piper Sandler. Please go ahead.
Korinne Wolfmeyer: Hey. Good afternoon. Thanks for taking the question, and congrats on a good quarter. First, I'd like to just clarify, what percent of the supply chain is currently outside of China, inclusive of Naturium. And then could you just touch on in terms of your marketing spend, how much are you allocating toward international versus domestic? And looking forward over the next couple of years, will that mix shift more toward international or how are you thinking about that going forward? Thank you.
Tarang Amin: Yeah. So, the supply chain is still primarily in China, Korinne. I'd say over 80% is still in China even with the inclusion of Naturium. That's one of the things I think over time you'll see a shift, given our diversification plans, and part of that diversification plans is also relying on some of our main suppliers in China to also look at other geographies. So we are able to leverage the tremendous both relationship expertise they have, our ability to work with them, as well as bring on new suppliers. So I feel really good about the progress that's being made, under that.
Mandy Fields: In terms of marketing spend, Korinne, our approach is very consistent with looking at marketing spend as a percentage of net sales. And so that's how we have approached, how we allocate our spend across the different businesses. Would we lean in a little bit more to international or skin care, some of the other growth vectors? Perhaps. But we also want to make sure that we stay balanced in our approach and make sure that we're putting, a lot of the fuel behind e.l.f. Cosmetics.
Korinne Wolfmeyer: Great. Thank you.
Operator: The next question comes from Mark Astrachan with Stifel. Please go ahead.
Mark Astrachan: Thanks and afternoon everyone. I guess as the business continues to grow. I'm really thinking more on the non-skin side. How much of the growth is sort of existing users, you touched a little bit on the loyalty program. How much is new users? And I guess as you increase marketing spend, how does that dynamic play out, meaning are existing users increasing basket? Are you attracting new users? And, you know, maybe to sort of trying to get at just how somebody enters into the e.l.f. family, how the life cycle plays out, they buy more products over time. I presume that means that the beauty cabinet bag makeup kit, so to speak is increasing, in terms of what e.l.f. products are in there versus other categories. I presume some of those share gains are coming from mass, some are coming from prestige, but maybe just, you know, sort of holistically kind of think about the life cycle here and who you're going after and how they stay in the ecosystem.
Tarang Amin: Yeah, Mark. So, I'll talk about the evolution. I'd say in the early days, we really relied a lot on existing users to build their basket, particularly as we expanded into additional product categories expanded into skin. I think that was early strategy. Really in the last few years, particularly as we've been able to take up our marketing levels and hit additional targets. We're seeing many more new users, and the great profile that we're getting on the new users, we can measure this through our loyalty program is they're demonstrating much of the same behavior of existing users. Once they get into the franchise, they start buying more, and you continue to build the overall basket and overall lifetime value on both existing as well as new users. So we feel really good about that profile and particularly being able to bring in both new users as we go through. The other big characteristics I would say is the market share we, we report is really based on Nielsen. So that's just on the math side, in terms of, like who we're taking share from and how we continue to build. But one of the great characteristics of the business over the last few years is particularly as we've doubled down on our holy grail Innovation, these big innovation franchises that grow year after year is we're starting to source a lot more also not only from prestige, but give access to consumers who previously didn't have access to these categories before. We've used the example on our Putty primer. There was an inspiration from a prestige item. We continue to track that prestige item. It's grown double digits. But we sell nine times the number of units on our Putty primer. So we basically brought in millions of consumers who couldn't afford a $56 Putty primer, but certainly can afford our $10 one. And so I'd say that's the other big dynamic. We're going to continue to pick up share just given the momentum we have, the way our strategy is working, but perhaps even the bigger long term opportunity is giving consumers access to categories they didn't previously have access to.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Tarang Amin for any closing remarks.
Tarang Amin: Well, thank you for joining us today, everyone. I'm so proud of our incredible team at e.l.f. Beauty for delivering another phenomenal quarter. Thank you every e.l.f. and e.l.f. partner for your passion and dedication or a vision of creating a different kind of beauty company. We look forward to seeing some of you at CAGNY in a few weeks, where we'll be presenting for the first time and speaking to you in May when we'll discuss our fourth quarter results and FY ’25 outlook. Thank you and be well.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.